Operator: Welcome to the 2018 Fourth Quarter Conference Call for Genesis Energy. Genesis has four business segments. The Offshore Pipeline Transportation Division is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs in the Deepwater Gulf of Mexico to Onshore Refining Centers. The Sodium Minerals and Sulfur Services Division includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities, as well as the processing of sour gas streams to remove sulfur at refining operations. The Onshore Facilities and Transportation Division is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation Division is engaged in the maritime transportation of primarily refined petroleum products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission.  We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims; CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer.
Grant Sims: Good morning and welcome to all. As mentioned in this morning's release, we announced record segment margin of 185.5 million in the quarter, which is a testament to the strength of our underlying diverse business segments. This was primarily driven by continued over performance in our soda ash business and continued ramp up of volumes on our Louisiana infrastructure. We try to provide a little more detail in the release because for whatever reason we don't usually get a lot of live participation in our calls. As we have previously alluded, we have identified and are currently evaluating several organic growth opportunities that are complementary to our existing core businesses with apparent multiples to adjusted EBITDA plus or minus 5 times. In conjunction with our desire to internally fund these potential investments and possibly other future opportunities as well as to further strengthen our balance sheet and maintain our financial flexibility, our Board of Directors has made the decision to hold our quarterly distribution rate flat at $0.55 per common unit, beginning with the distribution attributable to the quarter ending March 31, 2019. We intend to use our capital for the highest and best use for all of our stakeholders. We will revisit our distribution policy quarterly, but we currently expect for our quarterly distribution rate to remain at $0.55 per unit for the foreseeable future. For those that have followed us closely over the years, I would mention that our distribution coverage ratio would have been greater than 1 times in each quarter since we reduced our distribution on October 2017, even had we not reduced quarterly distribution. Turning to our quarterly financial results, our businesses continue to perform well in the quarter and we generated recurring financial results have provided 1.66 times coverage for our increased distribution. I just want to point out that our distribution coverage ratio is calculated, should be slightly lower in future periods everything else the same as we move out of the paid in kind period on our preferred equity units beginning March 1, 2019 and start paying the 8.75% per annum preferred payment in cash on a go forward basis. In our offshore segment, we are currently seeing increased demand for our assets from production that is currently dedicated to pipelines of our competitors that in our estimation appear to be oversubscribed. Given our excess capacity and connectivity of certain of our systems, we expect to benefit from this takeaway capacity constraint for the next 12 to 24 months and perhaps longer. We're very encouraged by the current activity in and around our substantial footprint in the Gulf of Mexico. We have several new dedicated tiebacks scheduled to come online in the second half of 2019, representing up to an additional 40,000 to 50,000 barrels per day or KBD throughput, exiting 2019. In fact, we have either executer and are in the process of finalizing agreements, adding incremental dedicated volumes approaching 80 KBD in 2020, including Atlantis Phase 3, 70 KBD in 2021 and 150 KBD in 2022, including Mad Dog 2, none of which requires any capital expenditures by us. We're in early, but active discussions regarding incremental 300 KBD, which could quite possibly come on in the 2022 to 2025 timeframe, a portion of which represents one of the strategic capital opportunities mentioned earlier. And now for the usual caveat, unless and until the parties enter into definitive agreements, there is no guarantee that we will be successful in capturing some or any of these logs. However, I would just add that in my 30 plus years of focusing on the infrastructure in the Gulf of Mexico, I've rarely seen such an active backlog of known and sanctioned developments by the producing community, especially as it relates to our current footprint of strategically located assets. Our soda ash operations continue to exceed our original acquisition data expectations. In 2018, we beat our previously raised target range of 165 million to 175 million in segment margin contribution, driven by strong export pricing, supported by higher than expected international demand growth and lower than expected international supply growth. We currently expect this tight international supply demand balance to stay in place in 2019 and in all likelihood, to strengthen into 2020 and 2021. During the 2019 contract season, we gained some domestic market share to bring our portfolio back in line with the domestic/international mix of the average US producers, after incurring some domestic losses over the last couple of years. Our intent is to maintain this balanced portfolio, moving forward. Our refinery services business continues to perform at or above our expectations and to be a remarkably steady contributor. Margin in our marine segment actually increased slightly for the fourth quarter in a row. We are reasonably hopeful we’ve put in a bottom for the quarterly segment margin from our entire fleet of assets and have seen some strength in near term day rates and utilization rates. It will be interesting to see how IMO 2020 plays out, as we would otherwise expect an increased demand for our type of inland barge that can get the right intermediate refined barrel to the right refinery location under the more stringent requirements for finished products. Also, there has been a recent parameter in Jones Act tanker rates on the dirty side, possibly indicating that more and more show crude oil volumes delivered to the Gulf Coast are further transported to the east and west coast of the US on Jones Act vessels in addition to international exports. In the quarter, even after reflecting the sale of our Powder River Basin midstream assets, at the beginning of the fourth quarter, our segment margin contribution from our onshore facilities and transportation segment increased from the third quarter. That increase was primarily driven by increasing crude by rail volumes flowing through our infrastructure in the Baton Rouge corridor in Louisiana. Those increased volume were primarily attributable to Imperial Oil, shipping a portion of its equity Canadian production via rail to Exxon Mobil's Baton Rouge refinery for consumption and/or export through our Aframax capable facilities at the port of Baton Rouge. I would also mention we are currently evaluating a couple of scenarios where our existing assets in the Houston area and lower Mississippi River corridor might complement the growth boom of international exports.  As many have read, on December 2, 2018, the government of Alberta took an unprecedented action of intervention in the free market by imposing mandatory upstring production curtailments on Canadian producers. We believe that artificially impacted the short to near term spread between WCS and WTI and resulted in making rail movements out of Canada uneconomical. We continue to believe that over the long run, the current -- the market takeaway capacities, supply and demand dynamics are in place to ultimately return to fourth quarter 2018 volumes, but we do expect to see a reduction in volume in the first half of 2019. We have certain take or pay contracts in place for our Baton Rouge assets that guarantee us minimum revenues to the extent certain volumes do not flow. However, these potential deficiency payments can be used to offset over performance in future periods. We currently expect to receive the take or pay amount in the first part of 2019 due to these contract dynamics, regardless of physical flow volumes. The Government of Alberta has already eased this curtailment and will continue to revisit this policy from time to time. Touching on the outlook for 2019, we are excited about the overall current operating environment for our business segments, notwithstanding the loss of segment margin expected in onshore facilities and transportation in the first half of 2019 related to the Alberta production curtailment as mentioned above. Also, as you are aware, there are only 90 days in the first quarter and we would expect this in and of itself to cost us $4 million on a sequential quarterly basis from the fourth quarter of 2018. Having said that, we expect 2019 adjusted EBITDA to be in a range of 685 million to 715 million, which assumes an adjusted EBITDA reduction of approximately $15 million due to the Alberta situation described above. We expect our fourth quarter adjusted EBITDA to be in a range of 180 million to 190 million, driven by reasonable recovery of crude by rail volumes and expected growth from our offshore segment, attributable to start up the several new dedicated tiebacks in the second half of the year discussed in more detail earlier. I would point out that assuming a reasonable self-funding this year on growth capital of less than $50 million, 180 to 190 times for it gets you to comfortably in the 4 to 4.5 times range on our calculated leverage ratio. We continue to enjoy strong distribution coverage ratio and are right on our path to naturally de-lever our balance sheet. We are encouraged by our view of the operating environment for 2019 for our businesses, especially after the Alberta oil production curtailment. We intend to be prudent and diligent in maintaining our financial flexibility to allow the partnership to opportunistically build long term value for all stakeholders without ever losing our commitment to safe, reliable and responsible operations. As always, we would like to recognize the efforts and commitment of all of those with whom we are fortunate enough to work. With that, I'll turn it back to the moderator for any questions.
Operator: [Operator Instructions] Our first question comes from the line of Theresa Chen from Barclays.
Theresa Chen: Good morning. Thank you for taking my questions and certainly appreciate all the color and guidance. Related to your offshore segment, in terms of your comments about the competitor pipeline being oversubscribed and diverting volumes to your systems, can you quantify how much that contributed to the segment margin this quarter and remind us again where do you see it ramping on a dollars per quarter basis for the next 12 to 24 months?
Grant Sims: We had no significant effect of it in the fourth quarter. It’s just reported. We would anticipate it to start showing up in the first quarter reported financial results. I think that it's possible, I’m doing the math real quick in my head. We could see it get upwards of $5 million to $7 million a quarter, not necessarily in the first quarter, but as we ramp through 2019, it's our belief that based upon what we are seeing currently, which we’ll be in a position to discuss when we release first quarter of what we're saying currently and given the drilling activity that we believe is happening on some of the fields that are dedicated to the other pipeline in question that we would anticipate that everything else is same for that number to ramp up as we go through 2019.
Theresa Chen: Got it. And for the tiebacks in the second half of this year as well as the incremental volumes over the next three years that you’re in the process of securing, can you also quantify what kind of segment margin upside is expected from these developments?
Grant Sims: Well, I mean as a general proposition, it's plus or minus, the long haul segments are to shore around $1 to a little more than $1, $1 to $1.20 or so, would be the long-haul to shore, to the extent that the tiebacks come in on a lateral and on top of that, we would get a lateral fee. But some of this will be split obviously between Cameron Highway, which is a 100% owned facility for us and Poseidon, which is only 66% owned, so 64% owned. So, but all in all, I think that you can do a little bit of arithmetic around what we anticipate, obviously that we'll see some amount, although it's not what people depict in cartoons of declines from existing production and existing fields. But I think that net-net, these incremental volumes that we see far outpace any amount of natural decline and that it's a net positive as we sit here today.
Theresa Chen: Understood. Turning to sodium minerals and sulfur services, can you provide a breakdown between what the contribution was with the term soda ash versus the legacy refinery services business for 2018?
Grant Sims: We don't break that down, other than I would say that on an annual basis, we exceeded the 165, 175, order of magnitude around little over $5 million on soda.
Theresa Chen: On the top-end?
Grant Sims: Yeah.
Theresa Chen: Okay. So, if you're in that like 180 range, then you expect the soda ash business to strengthen in 2020 through 2021, do you have a new range in mind of what you can achieve there?
Grant Sims: I don't think that we're -- I mean, I think what we're trying to say is that the 2018 performance I think is at least for the next couple or several years, that we would anticipate improving from that 2018 run rate.
Theresa Chen: Okay. And then in terms of onshore, just to clarify, the $15 million annual EBITDA reduction in 2019, how much is that relative to what Scenic Station did in 2018?
Grant Sims: I think that -- I think we're prepared to divulge that we -- in the fourth quarter, I think we moved just under 115 KBD to Scenic on average in the fourth quarter. So we would anticipate that, that would have been otherwise the run rate we would have anticipated. And for internal purposes, we're basically taking that down to the minimum bill levels for the first couple of -- first half of the year and hope that, certainly by the fourth quarter that we get backed up with those ranges.
Theresa Chen: Okay. And MVC, is it still at 40?
Grant Sims: Yeah. That's correct.
Theresa Chen: Okay. So when you were talking about the smoothing effects of how the delta between, if they ship below and then they see, they can apply that to times when they ship above, what are your expectations for the actual throughput in the first half then?
Grant Sims: Well, it's pretty close to zero in February and March. And we, this is, you can't -- so it's a long supply chain management issue, you can't turn everything back on on a dime. I think that if you look at the futures market that spreads indicative starting in April and go forward would indicate that rail economics would be supported. But the way the mechanics work, I mean just to do the simple arithmetic, given that you throughout the number, if they did zero but paid for 40 in one quarter, the next quarter, if they did 80, we would still only get paid for 40, because they would have built up a bank to make up the delta.
Theresa Chen: That makes sense. And what was the actual throughput in January, if you don't mind sharing?
Grant Sims: I don't think that we're prepared to release that.
Theresa Chen: Okay. Can you talk about when that MVC contract rolls off?
Grant Sims: It stays at that level through 2020 and then steps down I think to a smaller number through March 2022.
Operator: [Operator Instructions] Our next question comes from the line of Shneur Gershuni from UBS.
Shneur Gershuni: Hi. Good morning, guys. I'll try to just keep it to two or three questions. First off, can you confirm CapEx for 2018 that was spent?
Grant Sims: For growth CapEx for 2018, it was about $83 million, Shneur.
Shneur Gershuni: And maintenance?
Grant Sims: Maintenance is also about -- for the full-year, about $80 million.
Shneur Gershuni: Great. In terms of the project that you were talking about, I think you talked about a five times multiple project. Can you give us a little bit of color on what you're considering in terms of dollar amounts? And if you were to FID them, how much percentage wise would end up in 2019 CapEx spend?
Grant Sims: I don't know that we're prepared to release any of that at this point. I think once we FID that we would probably discuss that. When we do that, I do, I mean, I would say that most of these projects are, a, are longer lead time projects, and therefore the spend is over two or three year period. So we don't -- what we are keen on doing, obviously is managing our overall capital structure that we can efficiently fund these internally without putting any pressure on any places within the capital structure.
Shneur Gershuni: Okay. So just sort of thinking aloud, based on the guidance that you've given and where the CapEx would be for this year? It would seem that you would be free cash flow positive, if you were to FID those projects, are you saying that you would still expect to be free cash flow positive and leverage reducing this year?
Grant Sims: I don't know that, I can necessarily say that, but I think that our intent, Shneur, is to be able to take advantage of these opportunities, as they arise and still meet our leverage targets that we've laid out.
Shneur Gershuni: Okay, fair enough. In terms of your, the projects that you've put into service over the last two or three years, can you talk about how they've actually performed in terms of return, I guess expressed in the multiple versus your original expectations for these projects?
Grant Sims: I think that we've talked a little bit about, we've obviously exited Wyoming, at a net book gain from what we spent there. We've talked about a little slower ramp due to some issues, integrity issues, downstream in Texas, so that's probably, everything else is same, been a little bit slower ramping than what we had originally anticipated. I think that, based upon fourth quarter in Louisiana, and prior to December 2, the anticipation that our customer had of even increasing the usage beyond what we actually did in the fourth quarter, that we've been very pleased with how Louisiana has gone. We do other things there, besides Canadian crude by rail, and we anticipate being in service center and around the Baton Rouge refinery for decades to come on a variety of service capabilities, not just Canadian rail.
Shneur Gershuni: Okay. In terms of the new projects that you're thinking about, could we assume that on this go around that they're more likely to be contracted with some sort of minimum volume commitments, and is there some learnings from past projects that get applied to this one to ensure five times return multiple?
Grant Sims: I think that to the extent that we can, we will have such timing and commercial use risk abatements and contracts as we can possibly get.
Shneur Gershuni: All right. That makes sense. That concludes all of my four questions. Thank you very much.
Grant Sims: Thank you.
Operator: Our next question comes from the line of Ethan Bellamy from Baird.
Ethan Bellamy: Hi, Grant. Sorry for the preamble here, but we've got three big changes in the crude market, the Venezuelan Heavy being redirected, waive of Permian pipes, and then IMO 2020. You mentioned the inland barge demand as an opportunity. I'm wondering with these three big changes that are happening over the next say year and a half, are there any risks ahead to your fundamental business? And are there any other opportunities that are opening up here with these three changes?
Grant Sims: I think, that relative to the inland comments that I made, I think that the IMO 2020, which really, I think, we believe that's going to require moving a lot of intermediate refined products, which are heated and require internal heater barges. So it's not crude oil related, it’s moving intermediate products to protect from one refinery location to another, so that it can meet ultimately their finished products whether or not it's diesel or no-lead, can meet the more stringent requirements coming under IMO 2020. So we think that that's a positive, as because some existing refinery locations aren't capable of meeting some of those requirements. And then we've made reference to, for our larger vessels, which are ocean-going barges, at least the five dirty ones that we have, which are 110s and 135s, relative as well as the American Phoenix, which is still under contract with P66 through September 2020 that what we have seen is, as more and more of the Permian barrels or Eagle Ford barrels are ultimately DJ and PBR barrels, may or may not hit the Gulf Coast kind of, in our opinion, they need to be exported either technically to international markets or potentially to the East and West coast to pad 1 and pad 5 refineries. And we have seen an increase in demand and day rates for Panamax Jones Act vessels, as well as larger crude capable ATVs. So we think that that is a positive for the marine side. So again, we're not sitting here and wishing and hoping, because it's not a very good strategy of getting back to 2014, 2015 type run rates. But we do see some positives, those macro dynamics that you mentioned Ethan, potentially playing out for the demand for our types of existing reinvestments.
Ethan Bellamy: Okay. And then sticking with the vessel theme, are there any one-time dry-dock or any other vessel related items that we should be modeling this year?
Grant Sims: We have, I mean it's nothing out of the ordinary, we have a fairly robust inland dry docking. But I think consistent with 2018, so I don't -- nothing ordinary.
Ethan Bellamy: Okay. And I just want to be clear on the new distribution policy moving to the financial side. If you hit four times debt to EBITDA, does that mean distribution growth would restart or is there any other gating factor that would sort of allow the policy to change again?
Grant Sims: So I don't think that we have any bright lines on anything other than as we're trying to say that, I think that it is our intent to use our capital, which is a scarce resource to the -- for the highest value of use. And so that's ultimately something beyond internally funding, what we perceive to be kind of core high return long-term projects, maybe it's additional distribution growth, maybe it's a one-time special distributions, maybe it's ultimately unit repurchases, but with a, as a [indiscernible] reasonably dysfunctional equity market, the dollars are more valuable for us to create long-term value with the core investments.
Operator: Your next question comes from the line of Kyle May from Capital One Securities.
Kyle May: Good morning. Just wondering if you can talk more about the potential growth opportunities that you're evaluating. I know, excuse me, in the release you mentioned one offshore opportunity, but just wondering if you can give us a sense if other opportunities are all in the offshore segment? Or if they could complement other areas of the business?
Grant Sims: I think, I mentioned that we're evaluating some things relative to our existing footprints in both Texas and Louisiana in terms of potential export opportunities or international export opportunities. But importantly, and we've talked about this somewhat publicly is that, there is an expansion opportunity of our existing footprint, soda ash operations in Green River, Wyoming, that we believe is one of the, if not the -- most economical lumpy expansions in international soda ash world of approximately 700,000 tons of incremental production capabilities. So currently given the macro that we gave on the soda ash market, tight in '19 and probably tighter in '20 and '21 by implication, that means that it would, absent any kind of dramatic change to demand, and no change to supply outlook, but even greater needs for incremental supply in an already tight market three years down the road, just happens to be -- be three years from the -- once we FID and expansion before we would see first production. So those are -- that's another type of thing that we're looking at.
Kyle May: And maybe could you talk a little bit more about how you're thinking of balancing your leverage targets with the potential for these expansions?
Grant Sims: Well again, I think that we believe that we're rapidly approaching free cash flow positive. You can see that we believe that without capital that we have a fair amount of growth in front of us, which will just increase the amount of free cash flow with disciplined approach to the distribution that the Board has taken relative to these opportunities in front of us. We think that we have a fairly good line of sight of being able to capitalize on these opportunities and still meet our ultimate leverage targets of getting down to less than four.
Operator: Our next question comes from the line of Barrett Blaschke from MUFG Securities. Your line is open.
Barrett Blaschke: Hey, guys. I'm sorry I had to join the call late and maybe I missed this, but as you continue to work down towards your leverage targets and you've got such healthy coverage. Do you get more aggressive about maybe rationalizing assets that don't feel like they are core to your growth at this point, as part of your funding for growth projects?
Grant Sims: It’s certainly something that we would, we always take a look at, and we don't, and we never say never. But that's not something that we're actively out, taking a look at, at this point.
Operator: As there are no further questions at this time, I turn the call back over to the presenters.
Grant Sims: Okay. Well that ends the call and we appreciate everybody's participation and we'll talk in another 90 days or so. Thank you.
Operator: This concludes today's conference. You may now disconnect.